Operator: Good morning, everyone, and welcome to eHealth Inc. conference call to discuss the company's first quarter 2024 financial results.   [Operator Instructions]   I will turn the floor over to Eli Newbrun-Mintz, Senior Investor Relations Manager. Please go ahead. 
Eli Newbrun-Mintz: Good morning, and thank you all for joining us today.   On the call today, Fran Soistman, eHealth's Chief Executive Officer; and John Stelban, Chief Financial Officer, will discuss our first quarter 2024 financial results. Following these prepared remarks, we will open up the line for a Q&A session with industry analysts.   As a reminder, this call is being recorded and webcast from the Investor Relations section of our website. A replay of the call will be available on our website later today. Today's press release, our historical financial news releases and our filings with the SEC are also available on our Investor Relations site.   We will be making forward-looking statements on this call about certain matters that are based upon management's current beliefs and expectations relating to future events impacting the company and our future financial or operating performance. Forward-looking statements on this call represent eHealth's views as of today, and actual results could differ materially. We undertake no obligation to publicly address or update any forward-looking statements except as required by law. The forward-looking statements we will be making during this call are subject to a number of uncertainties and risks, including, but not limited to, those described in today's press release and in our most recent annual report on Form 10-K and our subsequent filings with the SEC.   We will also be discussing certain non-GAAP financial measures on this call. Management's definitions of these non-GAAP measures and reconciliations to the most directly comparable GAAP financial measures are included in today's press release.   With that, I'll turn the call over to Fran Soistman. 
Francis Soistman: Thank you, Eli, and good morning, everyone.   Today, we plan to review key operational and financial highlights of the quarter and address important recent developments in our industry and how they may impact our company's strategic positioning and outlook for the year.   eHealth delivered another quarter of strong execution in our Medicare business. In Q1, eHealth maintained the momentum we gained during the annual enrollment period, generating double-digit growth in approved Medicare members. This was driven primarily by our enhanced marketing strategies and strong execution in both our fulfillment models, agency, our choice model and Amplify, our carrier dedicated model. Importantly, our Q1 Medicare Advantage enrollment growth of 9% year-over-year was accompanied by another year-over-year increase in lifetime values. Combined with our fixed cost reduction efforts, this allowed us to post a significant year-over-year improvement in first quarter adjusted EBITDA.   I'm also pleased to report that eHealth achieved positive operating cash flow of $3.3 million for the trailing 12 months ended March 31, 2024, exceeding our target of breakeven operating cash flow for this period. This is an important achievement for our organization and a true testament to the early success of the business transformation plan that we completed in 2023. In comparison, our operating cash outflow was in excess of $150 million for the trailing 12 months ended 3/31/22 at the onset of our business transformation. We believe we can continue to build on these accomplishments and towards a sustainable, profitable growth and cash flow generation.   I will review our Q1 operational highlights momentarily, but first, let me share my thoughts about some important industry developments.   Throughout the past 2 years, there have been many changes in our sector, and we shared our views last year that the sector was rapidly approaching an inflection point. Specifically, we expected to see a shift towards market consolidation and rationalization. That inflection point has now arrived. Medicare brokers are making pivotal changes to their sales and marketing strategies to focus on enrollment quality, profitability and building long-term member relationships. Those who haven't or cannot adjust, are gradually leaving the market. We have seen several exits and transactions over the past 12 months, including one announced last week, and believe there may be more coming. As this consolidation trend continues, we believe marketing spend will be further rationalized providing for an increasingly favorable competitive environment for us.   With respect to recent managed care industry trends, carriers have publicly commented on several sources of financial pressures, which include increased medical utilization within their Medicare books, a tightening regulatory environment, STARS methodology changes, the Inflation Production Act and lower-than-expected 2025 reimbursement rates from CMS to name a few. Commentary from several large carriers suggest that during the upcoming AEP, Medicare plans will emphasize margin preservation over enrollment growth. In practice, this means that we expect to see widespread reduction in certain planned benefits and geographical market exits from some carriers. These developments make the eHealth consumer value proposition more important than ever. Medicare benefit shares can receive assistance navigating market complexity, including changes to their benefits through eHealth's unbiased choice model, free of charge by accessing our planned comparison tools and expert recommendations from our license benefit advisers. In the face of uncertainty, we are committed to being a trusted source of advice empowering our customers to make good decisions when it comes to their health coverage options.   In another important development for the sector, on April 4, CMS published its final policy and technical changes to the Medicare Advantage program for contract year 2025. As we expected, there were quite a few areas of ambiguity in the final rule. We've had extensive discussions with our carrier partners to obtain their views on the practical implications of the rule for the industry. Based on the information available to us at this time, it appears that the MA distribution companies with hourly employees, such as eHealth are largely excluded from some of the key provisions related to broker compensation. We will continue our dialogue with carriers and other industry players ahead of the AEP and are confident in our ability to continue navigating the regulatory complexity in this industry, while executing on the 2024 plan we shared on the last earnings call. As such, we are reiterating our 2024 annual guidance. Our strong track record of compliance and ability to react to annual changes in a fast and efficient manner represents a significant competitive advantage for eHealth in the highly regulated MA industry.   Moving on to our first quarter execution. Our marketing organization drove strong demand to our choice platform, resulting in 10% total Medicare approved enrollment growth. We remain flexible and opportunistic in allocating marketing budgets to channels and campaigns, which is a key driver of success in our dynamic industry. The open enrollment period brings a different audience to the market compared to the AEP, which also means a shift in relative performance of our marketing channels. For example, during the quarter, we saw strength in direct mail, including our in-house and affiliate partner mail campaigns. At the same time, we pulled back on direct response TV, which performed well for us in Q4 2023. We'll be investing in this channel again ahead of and into the 2024 AP, including our plan to create additional innovative brand-driven TV ads.   Within our digital marketing channels, paid search investment outperformed our expectations. We're gradually shifting emphasis and investment towards in-house efforts, especially within digital channels, which include paid search and search engine optimization. It will take time to fully scale our rebranded presence in these channels, and in the meantime, we continue to work with digital affiliate partners. Given the omnichannel nature of eHealth platform, digital marketing is an essential component of our overall demand generation strategy. We believe that over time, we can gain a meaningful lift from a comprehensive rebranded digital response marketing program similar to the strong initial brand impact that we saw with our DIRECTV advertising last AEP. Overall, Medicare member acquisition costs were in line with our expectations, while MA LTV grew again on a year-over-year basis. John will discuss our unit metrics in greater detail.   Moving now to our Amplify carrier dedicated platform, which generated just over $7 million in revenue in Q1. We saw continued traction with existing carrier customers performing at or above our expectations for both call volumes and call conversion rates. We are also receiving positive feedback on the quality and efficiency of our sales operation and are building out a pipeline of new dedicated business ahead of the AEP. In addition to MA enrollment, Amplify drove strong Medicare supplemental sales exceeding our expectations for the quarter. Total Q1 MedSup enrollments across both fulfillment models grew 35% year-over-year and Amplify contributed meaningfully. Our Amplify offering remains an essential component of eHealth's diversification strategy, as it allows us to scale revenue without a corresponding investment in variable marketing. Building scale is critical to achieving sustainable profitability for our business.   Additionally, our largest Amplify customers will be moving to a non-broker of record fee-based PPO compensation model starting in Q2 of this year, which has the benefit of favorable cash flow timing compared to the traditional commission-based compensation model. Given our emphasis on profitability and cash flow generation, we continue to allocate capital thoughtfully and intentionally to support our core product, programs and diversification initiatives. While expanding our presence outside of our core MA broker of record business is an important objective for this team, we will be doing so in a measured way that allows us to diversify while at the same time, continuing to expand margins. In our employer and individual business, this means focusing on rebuilding the foundation and certain key processes before returning to enrollment growth. Recall, we took a similar approach last year within our core Medicare Advantage business, pause in growth as we enhanced our Medicare sales, marketing and technology organizations before returning to strong growth at the end of 2023.   On the technology side, following the close of Q1, we successfully piloted our new enrollment feature Live Advise. This video chat capability provides an even greater level of transparency within the shopping, education and enrollment process, and builds instant connection between the Benefit Adviser and beneficiary. We believe this new capability has the potential to drive higher conversion rates and elevate retention as members feel more confident in the enrollment process and their plan selection. Over time, it could also empower beneficiaries to return to our platform to enroll through online transactions with minimal or no agent assistance. We continue to fine-tune our online platform, reducing friction points and streamlining the customer experience. In Q1, these efforts, combined with greater lead quality, helped drive a 20% year-over-year increase in online unassisted conversion rate, an important operational lever.   Within our marketing organization, we launched the ePerks program. ePerks offers participants a suite of tools and rewards meant to increase engagement and create a lasting member relationship. This includes Seamless Start, a service that helps beneficiaries set up their initial PCP appointment, mail order drugs and annual wellness visits as needed. ePerks users also gain access to dedicated advisers who can answer questions and conduct periodic check-ups to make sure that the beneficiaries are still in the optimal plan for them. Finally, ePerks includes special offers from our partners. The first of these partner offerings comes from Retirable, an organization that provides access to holistic retirement and financial planning services. We are excited about the potential of this new program and the favorable impact that we anticipate on our retention and customer affinity. Since its launch last month, we have already enrolled more than 200,000 existing eHealth Medicare customers in ePerks.   Additionally, eHealth continues to place a strong emphasis on our existing retention initiatives. These include our rebuilt approach to the customer journey that we discussed on last quarter's call, tracking all channels and interactions with our platform, including lead nurturing, service, support and value-added programs. The goal is to provide an increasingly personalized experience to each of our members depending on their unique situations and needs. Trailing 12-month turnover in our Medicare Advantage book of business improved both sequentially and on a year-over-year basis.   In conclusion, we had a strong start to the year and are well positioned to deliver on our growth and profitability goals. We are reiterating our 2024 annual guidance and are looking forward to updating you on our execution milestones in the coming quarters. Additionally, having achieved positive operating cash flow for the trailing 12 months ended March 31, we are focused on achieving the important goal of free cash flow generation.   eHealth ended the quarter with a significant cash balance and $845.3 million in contract asset receivable value, which continues to be validated through positive adjustments, including another $2.5 million in net adjustment or tail revenue booked in Q1. Our Blue Torch credit facility matures in February 25, we have begun exploring multiple avenues to improve our capital structure, including monetizing a portion of our contract receivable asset for the goal of lowering interest costs and providing additional liquidity for growth initiatives.   Finally, our latest investor presentation will be posted on our website next week. It reflects important enhancements as well as feedback from many of you on our previous presentations. We look forward to discussing it further in New York City.   John will now provide additional details of our financial performance and key metrics for the quarter. John? 
John Stelben: Thank you, Fran.   Our first quarter results were driven by strong revenue growth in our Medicare business, coupled with fixed cost savings across our organization, resulting in significantly improved adjusted EBITDA and operating cash flow compared to a year ago. Revenue of $93 million grew 26% year-over-year, driven primarily by our Medicare segment. First quarter Medicare segment revenue was $82.4 million, up 33% year-over-year with growth in approved members, increased MA LTVs and higher non-commission revenue as compared to Q1 of '23.   First quarter Medicare Advantage Broker of Record, or BOR, approved members grew 9%, Medicare Supplement BLR approved members grew 35%, and total Medicare BOR approved members grew 10% compared to Q1 a year ago. These results include enrollments from our core agency choice model as well as our carrier dedicated Amplify enrollment model that we launched in 2023 and are scaling this year. Since the Amplify launch last year and through the end of Q1 of '24, virtually all our sales on that platform have been BOR enrollments, where eHealth collects ongoing commissions in the same manner as our core agency business.   Starting with Q2, we are transitioning our largest Amplify deals to BPO arrangements where eHealth has paid a onetime enrollment fee as well as payments to cover certain call center costs as opposed to receiving recurring commission payments. New enrollments generated under these BPO payment models will not flow through our reported approved member or estimated membership metrics.   Slide 12 and 13 in our Q1 24 earnings deck outlined the key operating and financial differences between our agency and Amplify models. In the first quarter of '24, Amplify generated approximately $7.2 million in Medicare revenue and approximately 13% of the approved Medicare BOR members in the quarter. To be clear, the large detail arrangement we announced last year related to an existing carrier has remained BOR up until 3/31 of this year. This arrangement will move to a fee-based arrangement in Q2. In addition, we picked up a new carrier BPO arrangement that was BOR in Q1 and will be moving to fee-based in Q2 as well. The majority of first quarter Amplify revenue is from existing carriers, and we expect to grow these relationships as well as add new carriers to the platform.   Customer acquisition costs per Medicare Advantage equivalent approved member, which is comprised of customer care and enrollment or CC&E costs and variable marketing cost was $834, up 12% year-over-year. First quarter CC&E per MA equivalent approved member grew 20% year-over-year, reflecting a higher number of advisers, including those advisers supporting our dedicated amplified fulfillment model, as well as retention staff who drive member engagement activities. While retention agents don't typically generate application volume, their services are expected to result in improved LTVs over time, as well as non-commission revenues such as HRAs.   Additionally, this year, we intentionally retained a larger percentage of our tenured advisers post-AEP in order to support first quarter OEP enrollment growth as well as to increase average tenure and productivity within our sales team in advance of AEP. Variable marketing per MA equivalent approved member increased 5% year-over-year, driven primarily by channel mix. Our telephonic conversion rate was flat with Q1 of last year.   Total non-GAAP customer care and enrollment cost of $32.4 million increased 32% year-over-year and total non-GAAP marketing costs of $38.1 million increased 18% year-over-year. On a per Medicare equivalent approved member basis, these increases were 20% and 5%, reflecting efficiency gains as the per unit increases are lower than the absolute dollar increases. Recall that in Q1 2023, we were still in our MA transformation process, and Q1 24 reflects eHealth's return to profitable growth mode, hence the increased variable cost.   First quarter Medicare Advantage LTVs increased 6% year-over-year to $952 reflecting favorable carrier and contract mix. Total noncommission revenue was $12 million compared to $5.7 million in Q1 of '23 driven primarily by carrier sponsorship programs for our Medicare business. Medicare segment profit was $8.3 million compared to a segment loss of $0.6 million in Q1 of '23. This improvement was attributable to the year-over-year increase in non-commission revenue as well as greater scale in our Medicare segment as we return to enrollment growth year-over-year.   I'll now move to our employer and individual or E&I segment. This high potential business is currently undergoing a transformation process similar to the transformation that we successfully completed within our Medicare segment. ENI continues to generate strong profit margins and positive net adjustment revenue, driven primarily by favorable retention trends on our existing book of IFP enrollments.   First quarter E&I segment revenue was $10.6 million compared to $11.9 million in Q1 of '23. Segment profit was $4.7 million compared to $7.7 million last year. These results reflect a 29% reduction in individual and family plan enrollments, a 16% reduction in ancillary enrollments and a 15% reduction in small business group enrollments. Similar to the cadence of our Medicare transformation last year, we expect to return to growth in E&I in the fourth quarter on an improved operational and cost foundation. Q1 results reflect $2.5 million in net adjustment or tail revenue across our business, including approximately $1 million from our Medicare business.   Non-GAAP fixed costs, which we define as the combination of technology and content and general and administrative declined by 18% or $6.2 million, primarily for compensation, benefits and external vendor costs. As we discussed on our last earnings call, we identified fixed cost reduction opportunities as part of our 2024 planning process and began realizing them in Q1 with additional reductions expected throughout the remainder of the year.   On a consolidated basis, net loss for the first quarter was $17 million compared to a net loss of $19.9 million last year. In Q1, we recognized $6.3 million of impairment and restructuring charges, largely related to our leased office locations as we continue to reduce our physical footprint to align with our remote first model. It also includes $800,000 in severance costs. We did not have any impairment or restructuring charges in the prior year quarter. Excluding these costs, net loss would have been $12.2 million as compared to a net loss of $19.9 million a year ago. Adjusted EBITDA for Q1 was negative $1.7 million compared to a negative $12.7 million a year ago.   As we continue to reduce our physical footprint, we have consolidated all of our facilities-related costs under the G&A line item. Previously, some facilities costs were allocated to the CC&E, TNC and M&A line items before our change in Q1 of '24. These changes have been reflected in Q1 '24 financials and applied retroactively to our historical statements.   Operating cash flow for the first quarter was $70.8 million versus $60.8 million in Q1 of '23. Trailing 12-month cash flow from operations at March 31 was positive $3.3 million, up from negative $13.2 million a year ago and exceeded our goal of breakeven operating cash flow for this period. We ended the quarter with $188.9 million in cash, cash equivalents and marketable securities on our balance sheet, which we believe is more than enough liquidity to satisfy our operational and strategic needs for the foreseeable future. The ending position of our combined short- and long-term contract asset receivable was $845.3 million.   As Fran mentioned during his remarks, we are reiterating our annual guidance ranges for fiscal year 2024. While there is still ambiguity in the potential interpretation of CMS final Medicare Advantage rule, our decision is based on the information we have collected through extensive conversations with our carrier partners and industry subject matter experts. Navigating regulatory change is a core competency of eHealth, and we have done it successfully for many years, and I am confident in our ability to continue to do so with respect to this rule.   Looking ahead to the second quarter, we expect revenue growth of about 10% year-over-year on an ex tail basis. For context, we recognized just under $19 million in tail revenue across our business in Q2 last year. We expect our profitability to be roughly in line with Q2 of last year, excluding tail revenue. This reflects greater revenue and greater CC&E year-over-year, largely driven by an increase in agent head count as we strive for higher contribution from tenured advisers this AEP.   With that, I will turn the call over to the operator to open up Q&A. 
Operator: [Operator Instructions]  And we'll take our first question from George Sutton with Craig-Hallum. 
George Sutton: This is James on for George. Nice results this morning. Can you talk about the scenarios you see potentially playing out this AEP given the CMS final rule and the challenges we're hearing from payers? Sort of how are you managing or positioning the business to isolate yourself from those challenges? 
Francis Soistman: James, it's Fran. Yes, we're -- we've been working on strategies really for the past several months now, and we'll continue to refine those strategies, but we expect this upcoming AEP to be one of those situations where it best demonstrates the value proposition of eHealth in respect to what we anticipate to be a fair amount of disruption because of the pressures that Medicare Advantage health plans and carriers are experiencing through all the items that I mentioned in my prepared remarks. Part of this is offense, of course, right? There's going to be -- we anticipate a lot more beneficiaries who are accustomed to a certain level of supplemental benefits and other benefits that they value that may see changes, and potentially significant changes. I think the pressures on the Part D side both on the MAPD and the stand-alone Part D are also going to be a source of shopping. And then, of course, we expect, as some of the national carriers have already said publicly, basically, everything is on the table for them, including geographic market exits and some of the other pressures are going to feel through the limitations imposed by CMS through the total beneficiary cost of TBC where they may end up having to phase out of products and introduce a new product in that market, which doesn't allow them to convert those beneficiaries automatically. They have to resell them, and that's where we come in to place to help with that process. So I think it's going to be one of the more challenging AEPs for the industry, meaning the carrier industry, than they've experienced in many years, but it's an opportunity for our industry to demonstrate the value that we bring to beneficiaries through our services. 
George Sutton: Got you. And then with sort of higher switching or higher shopping activity expected, I guess, what strategy do you have in place to sort of improve your capture rate of those shoppers? 
Francis Soistman: Yes. Sure. We continue to put tremendous effort and emphasis on the importance of retention, persistency in our book of business, our customer relationships, which is why we've done so much already in terms of increasing the value proposition through ePerks as an example. We know that there's going to be a lot of activity further complicated by the fact that this is an election year cycle. And oftentimes, we've seen in the past, beneficiaries won't get the message as clearly as they do in off years because the election advertising consumes so much airtime, so that results in pent-up demand following the election. So we're preparing for that. We're preparing for everything we can to alert our customers where they will likely experience the greatest disruption. I'd say the areas that you can focus on more intently is where there's going to be geographic exits and knowing that you're going to need to intervene and move those beneficiaries into an alternative product if that carrier has exited the current carrier. So as I said, it's a combination of defending the book, and you do that proactively and through our analytics, we'll do it with great precision. And then we'll also need to go on offense in terms of taking advantage of perhaps the volatility in the greater marketplace to capture more share. 
George Sutton: Got you. Within the full year revenue guide, what contribution are you assuming from direct to carrier relationships versus the BOR side of the business? And what do you think that mix could look like in the next few years? 
John Stelben: James, it's John. I think that when you think about the amplifying business, it will be, call it, the high single digits to 10%-ish of the revenue based on what we have in the hopper today and we continue to look for new opportunities. I think over the next several years we expect to expand that Amplify business, especially as carriers are looking to -- looking for different distribution models going forward. But over time, we would adjust Amplify to become a larger percentage of the overall revenue. I really can't sort of -- I don't want to guess at what it could be, but if you were able to add similar-sized BPO deals to -- as our recent ones, you could over the next several years approach 20%, 25% of the total revenues. 
Operator: [Operator Instructions]   And it appears that we have no further questions at this time. I will now turn the program back over to our presenters for any additional or closing remarks. 
Francis Soistman: Thank you, operator, and thank you to everyone that dialed in for this morning's call. eHealth continues to make important progress towards our goal of steady, profitable growth. Our results this quarter are a key indicator of eHealth's strong strategic, operational and financial foundation made possible by the important work of our management team and all of our employees. We appreciate your continued support and we look forward to meeting with our investors in the coming weeks. Thank you. 
Operator: That concludes today's teleconference. Thank you for your participation. You may now disconnect. Goodbye.